Operator: Hello, ladies and gentlemen. Thank you for standing by for 36Kr Holdings Inc.'s Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After managementâs remarks, there will be a question-and-answer session. Today's conference call is being recorded. I will now turn the call over to your host, Yang Li, IR Manager of the company. Please go ahead.
Yang Li: Thank you very much. Hello, everyone. And welcome to 36Kr Holdings third quarter 2022 earnings conference call. The companyâs financial and operational results were released earlier today and have been made available online. You can also view the earnings press release by visiting the IR section of our website at ir.36kr.com. Participants on today's call will include our Co-Chairman and CEO, Mr. Dagang Feng, and our Chief Financial Officer, Ms. Lin Wei. Mr. Feng will start the call by providing an overview of company and performance highlights of the quarter in Chinese, followed by an English interpretation. Ms. Wei will then provide details on the company's financial results before opening the call for your questions. Before we continue, please note that today's discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in the company's prospectus and other public filings as filed with U.S. SEC. The company does not assume any obligation to update any forward-looking statements except as required under applicable law. Please note that 36Kr earnings press release and this conference call include a discussion of unaudited GAAP financial measures, as well as unaudited non-GAAP financial measures. 36Kr's earning press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited GAAP measures. And please note that all amount numbers are in RMB. I will now turn the call over to our Co-Chairman and CEO, Mr. Dagang Feng. Feng, please go ahead.
Dagang Feng:  Thank you. Hello, everyone. Thank you for joining our third quarter 2022 earnings conference call. In the third quarter of 2022, we maintained steady growth across our business highlighted by our fourth consecutive quarter of profitability. This strong performance in COVID-19 resurgences as macroeconomic headwinds was largely thanks to our do focus on boosting our influence and advancing commercialization. As new job to empower the new economy sector throughout the third quarter. We continue to optimize our sources and build barriers to competition with our content ecosystem, setting the stage for our ongoing excellent performance. To start I like to share with you some of this quarter's and innovations in brand influence and commercialization. First let's look at content, we are committed to creating value with our high-quality content. It is the cornerstone of our development and powerhouse that propels continuous expansion of our brand influence boasted by our content platform strategy with do focus on PGC and UGC. We have enriched our content offerings and created a multi-dimensional content ecosystem encompassing pan-commerce and pan-life content. In this quarter, we continued to produce engaging professionally-created content, with the number of our articles with over 100,000 page views climbing to over 155,000 among them several articles on pan-business and pan-life topics triggered heated discussion, driving PVs up to 300,000 and even beyond 800,000 in some cases. In addition, several of our original articles were recommended by which has top selective in the third quarter, leading to a daily pageviews of over 1 million for several consecutive days. I'd also like to highlight an insightful article written by our secondary markets in the third quarter,  a blockbuster which generated huge buzz and over 800,000 views. Furthermore, our brand-new word fields at media outlets 36 Carbon launched only six months ago achieved nearly 200,000 views with these in-depth coverage of  , getting the outlets off to a flying start, which significantly boosted our visibility in the due carbon sector. As for our UGC model, we implemented a breakthrough innovation in the third quarter by optimizing operations for the 36Kr apps latest post feature, we established a discussion forum for our shared content, creating ourselves for penetrating content creation circle. This specific core user retention while also drawing attention and responses to our content substantially reinforcing usersâ weakness. In addition to our engrossing text and graphic content, video content is one of our most effective tools for increasing user diversity. We unleased price vitality in our short video and live streaming content during the third quarter, with several of our short videos achieving over 1 million streams. Among them our regional content on the topic of the truth about How Hospitals Make Money gained more than 4 million views on Bilibili. In addition, 36Kr received two gold medals and one cooper medal at the China content marketing award for its excellence in content production and dissemination, highlighting the industry's recognition of 36Kr's original content generation and commercialization capabilities, as well as our brand influence. As of the third quarter of this year, the number of our short video followers exceeded 7.4 million amount in the number of our followers in Bilibili surpassed 1.5 million at the end of October making us a leader among institutional accounts on Bilibili. Regarding live streaming, our Youth Watch and CEO Tips programs continue to pump up fresh content for using a continuous stream of high-quality reporting with coverage of new topics. Together they completed 25 live streaming sessions in the third quarter. Notably Youth Watch established cooperation with retail video accounts to launch a specialized column setting a new record in the number of stream generated. Beyond our UGC and PGC content, we also explored data accumulation, community operation during the quarter and leveraged our experience in primary and secondary markets to launch the 36Kr Venture Capital platform. This platform capitalize on our data mining resources to continuously empower early-stage projects to secure financing. As of now, the platform has attracted over 10,000 startup companies and over 1500 institutional investors, including such big names as Matrix Partners and Plum Ventures, with 1000 weekly connections facilitated on average. As the saying goes fortune favors the brave, 36Kr Venture Capital platform marks both side for us as we expand beyond media surveys to data tools and founding facilitation services, enhancing visibility and exposure for high-quality startup companies and connecting them with investors. Powered by these efforts and achievements, as of the end of this quarter did involve followers grew by 18.6% year-over-year to 26.7 million. We have also noted consistent improvements in our brand influence and user attention which have laid a solid foundation for our commercialization initiatives. With that, let's now turn to the commercialization progress of our main businesses. First, our advertising revenue increased by 20% year-over-year powerful evidence of brands appreciation of our effective brand and marketing. Thanks to our continuous service innovations coupled with our CSR program, Seeking the Light, the number of our customers rose by 20% year-over-year, while ARPU held steady at last year's level in the third quarter. We continue to create new advertising content and formats for brands targeting fee and consumers. For example, we made a commercial video for building hybrid electric vehicle entitled the truth about oil resource depletion featuring our fresh perspective, this pioneering short video won raves from the customer. Our verticals sub-media outlets or youth also continue to gain brand influence boosting this commercialization potential by connecting content format from various channels including tax graphics or lab training or use consumer feed the varied needs of our diverse customer base as for commercialization multiple well-known companies including iQiyi, Huawei, Jingdong and Zhihu became repeat customers in the third quarter and we established new cooperations with Bon Way, STEPVR and other New Economy brands. Although serving the New Economy sector is a key differentiator and advantage for 36Kr, we also continued to innovate an office of our services more traditional industry customers. For instance, we established in depth cooperation with the staff to operate their brand strategy in preparation for their new product launch, but skillfully integrating product testing of similar products with our detailed, informative industry specific content, we helped XTEP cement their strategy for becoming a world-class Chinese running shoe brands. This collaboration was an in-depth industry content, product videos and product launch was force for 36Kr and represents a potential new tool in our arsenal for empowering traditional consumer brands. We are confident that as we continue to refine and enhance our services, we will attract more traditional brands seeking an influential and creative partners in their marketing strategy. In addition, we recently entered into strategy cooperation with FutureCar a leading North American media platform, focusing on the automotive industry. Through authorized content sharing and mutual commercialization support, the two parties will jointly tap into opportunities in the global new energy vehicle sector innovation this marks an important expansion of 36Kr global business footprint during our media network and our commercialization prospects in the North American market. Regarding our secondary market products, we teamed up with Guotai Junan Securities during the quarter to share our insights into the real asset industry current situation and future investment trends to the 36Kr Capital pipe program. Meanwhile, we established partnership with renowned companies such as New Hope Group, ClouDr, Linmon Media and Jenscare to provide empowerment services in market value management and brand management. Also 36Kr cell phones sector and market business we set up a joint venture in the third quarter with a well-known U.S. financial media company CapitalWatch. Going forward the JV will focus on offering marquee value management services for Hong Kong listed companies. Turning to value-added enterprise services. In this quarter, we continued to provide high-quality services for clients by integrating online and offline formats to mitigate the impact of COVID-19 on their business. As a result we've established cooperation with more enterprises and governments clients increasing our number of customers by 26%. So the revenue from this segment also increased by 4.7% year-over-year. One notable success was the heavyweight IT Forum we've hosted in  China Fund Partners Summit. Through our communications with a massive number of startups and investing institutions we have developed a deep understanding of both the current situation and future outlook across broad-based industries. We capitalize on these advantage to analyze the key structure impacting the development of R&D plans for industry, policy and market perspective. helping local farms gain deeper insights, adapt to changes and capture opportunities in the new investment era. In addition, we concluded our WISE New Economy Kings conference last week with Long China innovation as this year theme. We invited New Economy professionals including entrepreneur Wang Shi, economist Guan Qingyou, and Charles Li Xiaojia, entrepreneur and former Chief Executive of the Hong Kong Stock Exchange to conduct in-depth discussions of trending industries at a run which attract total exposure exceeding 4.5 billion across all audience. The platform offline activities we continue to make friends with our consulting services and value-added enterprise services in the third quarter. For our consulting services, our 36Kr research institutes continue to deepen industry insights and publish compelling industry research reports enhancing its brand influence. During the quarter we expand our customer base with additional government agency customers in Beijing, Chengdu, Shenzhen, Hangzhou and Chongqing, as well as renowned enterprises, including Lenovo, Baidu, ByteDance and P&G, elevating this business commercialization as for our contentâs operation agency services, we continue to explore content services, mobilization standardization of our app to enhance our service efficiency and quality. At a Huawei developer conference 2022 to 36Kr was granted the excellent technology content partner award for providing agency operations services for Warner Brothers. In addition, we attract new partners and establish collaborations with various eminent financial institutions and enterprises, including Shanghai Pudong Development Bank, and Huatai Securities, thanks to our high popularity and an word of mouth effect. At the same time we continue to make progress in our regional business expansion. With our two headquarters in Beijing and Shenzhen, we focus on expanding our presence through our 12 core regional offices in Guangzhou, Sichuan, Chongqing, Jiangsu, Zhejiang, Hubei and Shaanxi. Alongside growing regional customer diversity. Revenues from enterprise clients is also increasing rapidly with operating by more than 50% and contract sets by over 60% year-over-year. Adding local enterprises to our client roster has improved the balance of our governments and enterprises clients clearly reflecting the effectiveness of our lower tier market expansion strategy. Notably, our regional office in Jiangsu organized its first WISE  events during the quarter establishing a benchmark as we build regional influence of our vertical segments and explore regional commercialization opportunities. With respect to our subscription services on top of our existing traditional process, we upgraded our curriculum and turning our customer base. During the third quarter we upgraded the funding acceleration camp and partner with well-known companies including Microsoft China and Mengniu to provide internal training as we build out a complete curriculum subscription service will bring us more commercialization opportunities going forward. Next, I'd like to share our latest accomplishments with respect to our enterprise service review platform. According to northeast accretive data, the digital economy has become a key driver of China's economic development, accounting for 40% of China's GDP and rising representing our second growth engine and commercialization break through, the enterprise service review platform is dedicated to empowering the thriving sub industry. In the third quarter, our enterprise service review platform reported exceptional performance across multiple operating metrics, as well as creating -- as well as great progress in functionality improvements, user acquisition, innovation and commercialization. First, enterprise service review platform meeting rapid growth in operating data, with monthly active user rising more than 12-fold year-over-year to exceed 1 million. The number of authentic user reviews also surged, growing by almost 10-fold year-over-year and 54%, quarter-over-quarter to exceed 50,000. We showcased 7,300 pieces of mainstream software on the platform this quarter, up 59% year-over-year and the number of more chance on our platform is now approaching 1000 up 328% year-over-year. Products functionality improvements based on the underlying data of software products. We've used a labeling system for software evaluation, allowing users to write reviews by choosing appropriate labels, which improve review efficiency and effectiveness. In the meantime, we upgraded the rate control system for review verification to increase review authenticity and reliability. We also elevated buyers experience by enabling profiles living on the page of our app. Finally, we revamped our business portal in the Baidu mini program leading to pick daily unique visitors of over 5000, just two months after its launch. As for our innovations in customer acquisition, in addition to continuous optimizations of our consumer profile system, and grant promotions in various regions, we launched an exclusive long enterprise service team party on the enterprise service review platform. We invited experts from leading enterprises or popular industries with an interest in digitalization, such as catering and new consumption to explore industry solutions in real industry scenarios. This event deepened participants understanding of digital transformation from a practical point of view. Additionally, we've strengthened the content capabilities on our enterprise service review platform in the third quarter by combining professionally generated content and enterprise service review platform products with the usual centric approach. We love the unique value of IP contents in guiding industry trends and forging connections among professionals. Not only through our deal growth dialogue program and digital growth program, we focus on real business cases and also our user review to elevate the user experience and commercial value of enterprise products from user perspective. Lastly, we're also made significant strides in the commercialization of our enterprise service review platform. To-date, our enterprise service review platform has received orders with a combined value of over R&D 10 million. It has also established strategy cooperation with Lenovo, a Fortune Global 500 company to provide in depth marketing services to the Lenovo SMB unit. Specifically, leveraging the data we have accumulated via the enterprise service review platform, we deliver valid marketing, qualified leads and assist Lenovoâs SMB units in process customer acquisition. Meanwhile, by jointly developing a program for specialized, sophisticated, differentiated and innovative companies to acquire massive traffic from small and medium sized enterprises. We have increased Lenovo with a powerful new tool to enhance their brand influence. This collaboration marks an important milestone in the commercialization path of our enterprise surveys review platform and a benchmark for future cooperation with more renowned companies. We have established other benchmark cases through brand promotion of well-known SaaS vendors such as Xinren Xinsh, HotPay, Weiling Technology and Dustess.com building a flywheel for the enterprise service review platform through IP growth. Looking back at the third quarter despite the COVID-19 resurgences and macroeconomic challenges that deal weighed on everyone in the industry. We remain focused on optimizing our content ecosystem, service system and operations, while also driving our commercialization. These efforts contributed to our encouraging financial performance in the third quarter highlighted by our double-digit revenue growth year-over-year and the profit for the fourth consecutive quarter. In addition, we continue to break new grounds with our second growth engine, the enterprise service review platform and the leverage rapid improving operating metrics and daily commercialization results. Looking ahead, we will continue to hone our unique competitive advantage to maintain our business vitality and resilience. riding the wave of industry upgrades and digital transformation, we will unlock greater commercialization potential for new growth avenue in the new economy sector to create more value for users, shareholders and investors. With that, I will now turn the call over to our CFO, Lin Wei, who will discuss our key financial results. Please go ahead, Lin.
Lin Wei: Thank you, Feng and hello, everyone. Despite the lingering challenges in the external environment, we are very pleased to have extended our strong growth momentum into the third quarter with another quarter of double-digit top-line growth alongside a 11.5% year-over-year increase in total revenues. Notably, our advertising businesses continue for increasing 20% year-over-year. While our enterprise value-added services also recorded solid growth of 5% year-over-year. In addition, thanks to our consistent and effective efforts to optimize our cost structure and operating efficiency. Our gross profit margin and operating margin both improved year-over-year in the third quarter of 2022. And we delivered a fourth consecutive quarter of profitability. Our resilient diversified portfolio of products and businesses, bolstered by our content capabilities and multinational ecosystem actually positions us to achieve sustainable growth and generate long-term shareholder value as we move forward. Now I'd like to walk you through more details of our third quarter 2022 financial results. Total revenues were RMB 94.6 million in the third quarter of 2022, an increase of 11.5% compared to RMB 84.9 million in the same period last year. Online advertising services revenues increased by 20% year-over-year to RMB 63.9 million in third quarter of 2022. The increase was primarily attributable to more innovative marketing solutions we provided to our customers, as well as proactive sales strategies. We adopted to navigate the challenging environment during the quarter. Enterprise value-added services revenues increased by 5% year-over-year to RMB 23.6 million in the third quarter of 2022 as we continuously and proactively developed various new enterprise level services for our customers. Subscription services revenues were RMB 7.1 million in the third quarter or 2022 compared to RMB 9 million in the same period of last year. The decrease was primarily because some of our offline training programs are canceled or delayed due to the resurgence of COVID-19. Cost of revenue to RMB 35.5 million in the third quarter of 2022 compared to RMB 37.3 million in the same period of last year. Gross profits increased by 24% year-over-year to RMB 59.1 million in the third quarter of 2022 compared to RMB 47.6 million in the same period of last year. Gross profit margin was 62% in the third quarter of 2022, compared to 56% in the same period of last year. Operating expenses were RMB 62.1 million in the third quarter of 2022, a decrease of 23% compared to RMB 80.3 million in the same period of last year. Sales and marketing expenses were RMB 32.2 million in the third quarter of 2022, a decrease of 9% from RMB 35.5 million in the same period of last year. Decrease was primarily attributable to the decrease in share-based compensation expenses and marketing expenses. G&A expenses were RMB 16.6 million in the third quarter of 2022 compared to RMB 3.9 million in the same period last year. The decrease was primarily attributable to the decrease in allowance for credit losses. Research and development expenses were RMB 13.4 million in the third quarter of 2022 compared to RMB 13.9 million in the same period of last year. Share-based compensation expenses recognized in cost of revenues, sales and marketing expenses, research and development expenses, as well as G&A expenses totaled RMB 2.6 million in third quarter of 2022 compared to RMB 4.9 million in same period last year. Other income were RMB 5.7 million in the third quarter compared to RMB 1.5 million in the same period of last year. This fluctuation was primarily attributable to income generated from write-offs of accounts payable in the third quarter of 2022 after the company fulfilled all applicable notifications and other risks eliminated with barriers. Net income was RMB 2.5 million in the third quarter of 2022 compared to net loss of RMB 31.3 million in the same period of last year. Non-GAAP adjusted net income was on RMB 5.1 million in the third quarter of 2022 compared to non-GAAP adjusted net loss of RMB 26.4 million in the same period of last year. Non-GAAP net income attributable to 36Kr's ordinary shareholders was RMB 1.7 million in the third quarter of 2022 compared to net loss of RMB 30.5 million in the same period of last year. Basic and diluted net income per share and per ADS were RMB 4.2 cents in third quarter of 2022 compared to basic and then diluted net loss per ADS of RMB 74.4 cents in the same period of last year. As of September 30, 2022, the company had cash, cash equivalents and short-term investments of RMB 164 million, compared to RMB 194.3 million as of June 30, 2022. The decrease was mainly attributable to net cash outflow from operating activities, as well as certain long-term investments in several new economy startup companies were made in the third quarter of 2022. This concludes our prepared remarks today. We will now open the call to question. Operator please go ahead.
Operator: Thank you.  And our first question will come from Peipei Qiu of Industrial Securities. Please go ahead.
Peipei Qiu:  And I will translate my question. So we've learned from your financial report that the enterprise review platform  developed rapidly across multiple operation metrics. Could you share with us more about your like monetization and timelines for this business in the coming years more about the mid and long-term strategy for ? Thank you.
Dagang Feng:  Since the beginning of this year, we have been trying to optimize our enterprise service review platforms operations, and explore commercialization opportunities based on our operational data, our enterprise service review platforms, primary metrics all improved rapidly year-over-year, including monthly active users. Daily active users are the number of real reviews and the number of pieces of software showcase. Our year-over-year basis of enterprise service review platforms   grow by over software to exceed 1 million. The number of real review increased by almost 10-fold year-over-year and 54%, quarter-over-quarter to over 50,000. We also showcased our 7300 pieces of mainstream software up 59% year-over-year. And , our enterprise service review platform approached 1000 year-over-year increase of 328%. So in terms of commercialization, we established cooperation with Lenovo in the third quarter to empower customer acquisition and brand management, marking an important value in our enterprise service review platform commercialization costs. So regarding future plans, we will leverage the existing data on our enterprise service review platform to convert more leads for delivery. So for the next quarter, we will initiate a new product function. We will continue to collect usersâ real reviews and combine basic product data expert opinion to issue personalized industry selection reports and product comments reports will help users make product selection decisions. We think this will highly improve our surveys and also improve the value of the commercialization. At the same time, from the perspective of SaaS providers, we will continue to enrich our industry solutions and industry case base, develop case-based products and reach out to decision-makers by various means such as product functions, articles, live broadcast, thereby forming industry consensus and helping to improve the efficiency of sub-product selection. With respect to commercialization, we'll continue to build benchmark cases and extend our collaboration models with leading well-known enterprises such as linear one Volcano Engine and into more enterprises, creating center lives, commercialization models and expanding our commercialization scale with maximum efficiency. So for the macro economy  National Congress has also emphasized the importance of digitalization. Contrary to popular perception, or COVID-19 flare ups has actually facilitated the development of cross topics as more holistic digital transformation. So we expect that if we have more focus on the functionality of enterprise, so it's review platform in 2022 and we will assume a real -- very high growth comparable to the 2022 of the commercialization for the year of 2023.
Operator: The next question comes from Lingyi Zhao of SWS Research. Please go ahead.
Lingyi Zhao:  Congrats for the great results. And thank you for taking my questions. Iâm Lingyi Zhao from SWS Research. My first question is, how do we expect the growth potential after the relaxation of control measures? And how about expected goals? And my second question is, could you please comment, share some outcomes on the recent WISE conference and what adjustments have been prepared of offline activities for December and next year. Thank you.
Dagang Feng: 
Lin Wei: Hi, Lingyi. Thank you for your question. This is Lin. I guess I will maybe answer your first question because it is regarding some financial guidance for next year. And then, Mr. Feng, will answer your second question. You mentioned that the lifting of the pandemic control measures. Yes, that's a very good signal of our good job. Basically, I think all of our businesses will benefit across the board. But in terms of timing, that will be some business will benefit, earlier some will be benefiting later. Namely, advertising, I think that will be the number one business factor that will benefit from this because in business world, I think expectations or confidence matters the most. I think the linking of the control measures will give the business or enterprise side, a very good expectation or confidence. So I don't think they will wait to see the growth to happen in realistic, but only the sign of recovery will give them the confidence to starting to do marketing again, and to do customer acquisition, so they can accelerate their growth. So that's why I think in terms of advertising that will be directly linked to the macro economy recovered. I think that's why advertising business will benefits first. And advertising in terms of its volume, that's number one,  business. And I think that's very good, a very good sign. And that's very important. And gradually, I think after because this measures just I think announced in this week, so it's still very early to tell but gradually, I think after those measures, was taken all over the country, I think our enterprise value-added services, which are mainly comprised of offline events and some consulting businesses, as well as our subscription business, which comes out a lot of offline training programs and finding courses. I think that will benefit also from this macro. So that will happen a little bit later than the advertising business. But the overall, all three major businesses will benefit. And to qualify that benefit, I think, in terms of advertising, that's the biggest volume that will, let's say, in the first three quarters of 2022, advertising grow, I think the growth rate is between 10% to 20%, if you look at first three quarters results. I think next year, as Mr. Feng just mentioned, I think next year, I don't have will outgrow 2022s performance, which means maybe higher maybe to 15% to 25%, or even higher. That's for growth rate, I think enterprise value-added services, which include the  platform, as well as our subscription business, which includes a lot of training programs and courses that will benefit in terms of growth rates, -- growth rate will be greater that will be even greater than the growth rate of advertising business. But in terms of volume that will be smaller than advertising. That's overall, the answer for your first question. I think, now Mr. Feng will answer your second question. Thank you.
Dagang Feng:  So after overcoming many challenges. This year, so we successfully hosted our WISE conference. We have prepare, like Plan B to Plan C, Plan D, Plan F to prepare this conference. So we adopted  model and offline format, in Beijing and offline format in Hangzhou. And we're also invited up to 100 distinguished guests, including famous entrepreneur , like the famous investor, , and also economist and some of the government's agencies for this conference. So our conference, attract close of over 4.5 billion across offline, online audiences, and having collaboration with over 50 mainstream media. So from the commercialization prospect, although the primary parts of the conference will have in Beijing and combine these, the offline, in Hangzhou. We have little impact on our revenue of the offline activities due to the impact of the COVID-19 resurgences. So we are much more satisfied with the commercialization this year. So anytime or the web conference is our focus conference. And we will also have a few customized offline events focusing on local clientsâ needs like enterprises and commerce. And also, we will have some of the events that will like a small site. So regarding the next year as the COVID-19 restrictions are lifted, we will increase the frequency of growth of major industries and customized events. Also, we will have issued more our own IP events for the next year. So as the reopen of the restriction, we will have more offline events and also it will generate more revenue in 2023 over 2022.
Operator: The next question comes from Jing Chen of CICC. Please go ahead.
Jing Chen:  I will translate myself. My question is about short video business. Can you give more color on the future plan for development and commercialization of your video? Thank you.
Dagang Feng:  So, our short video business is a very important strategy for the end. And so, we used to service more to be customers and so, the short video will service more the end customers and will also help us to obtain more collaboration toward the end brands but also  products more attention from the words by user growth. Okay. From the perspective of the end users  short video business have generated frequent recognition from the industry in the past year. So for example, 36Kr recently received two gold medals and one copper medal at the China content marking award is the one of the most recognizable award in the industry. So CCMA highly praised 36Kr's excellence in original content production, and content marketing capabilities. In addition, you should remember our followers on Bilibili surpassed 1.5 million at the end of October. Many of our original videos have also amassed a high number of streams. Among them, our original content of topics, released at the end of November has racked up more than 4 million reviews on Bilibili. So the most important thing is that our rank in the institutional medium is so much high. Some of them are like government, or the individual medium that was just beyond us. But as for the institutional media, we are like the first one in the Bilibili. In terms of commercialization short video revenue doesn't force our economy, 15% of our total advertising revenue, an increase compared to the same period last year. The short video formats only effectively increase our average revenue for advertising customer. And it also enhanced the comprehensive of our service to a certain extent, enabling us to provide services to a broader array of advertisers. Thank you.
Operator: And there are no further questions. And I'd like now to turn the conference back over to the company for closing remarks.
Yang Li: Thank you once again for joining us today. If you have further questions, please feel free to contact 36Kr's investor relations with the contact information provided on our website.
Operator: This concludes this conference call. You may now disconnect your line. Thank you.